Philippine de Schonen: Good morning, everyone. We are pleased to welcome you for our 2023 financial results. This presentation will be made by Luca de Meo, CEO of Renault Group; and Thierry Pieton, CFO of Renault Group, and will be followed by a Q&A session. Luca, the floor is yours.
Luca de Meo: Thank you. Thank you. Hello, everyone. So -- and thank you for being with us. So in the life of a company, every moment is a challenge. And especially in automotive and especially in our times, you can actually never be sure whether you will stay in the game. But sometimes, people that do my job, get the most important rewards, I would say, a leader can have. And because you realize that you are the right team, you have the right mindset and that you have created a dynamic that will keep your performance sustainable. So -- and apparently, we also kind of keeping our competitors awake, even forcing them to wake up very, very early in the morning. So I want to take the opportunity to congratulate them for the excellent results. So chapeau, as we say in French. But you will see that we also have to bring a few good news. So Renault group financial performance is actually higher than it has ever been in more than a century. It's simple. In 2023, we are breaking records on every major financial KPI. We outperformed the guidance that we had already raised in June. In 2023, we achieved a record operating margin of 7.9%. This is actually 2 points above our initial guidance at the beginning of the year. And we generated EUR 3 billion of free cash flow. For Renault, it's something historic. Over the decade before the COVID, we generated less than EUR 1 billion per year on average. So this number shows that we have changed something structural in the system. It's the first time that the machine is designed to deliver financial performance. And the beauty of the thing is that we have managed to put the product back at the core of our strategy while we were very busy restructuring the company. The fact that this is a solid work is even more obvious if you look not only at the snapshot, but at the whole movie. So in only 3 years, we went from record losses to record results, constantly improving our operational performance. And this powerful dynamic is the result of in-depth work that we have been doing and that we are still doing on our lineup, on our commercial policy, on our cost structure and, of course, on our organization. This new breed of -- type of organization that we have put in place is designed to capture value on all new automotive value chains through dedicated and focused businesses. We call it the next-gen automotive company. The idea behind is very simple. The automotive landscape is being radically transformed. Instead of 1 sport, we now have to play at least 5 different disciplines, address 5 different value chains, and tap into 5 different profit pools. So to excel in these 5 sports, we need 5 type of athletes, each of them 100% focused. These are Power, Ampere, Alpine, Mobilize and Neutral. When I arrived at Renault, what struck me was the complexity of its structure. It was a matrix organization with too many dimensions, brands, regions, countries, functions and of course, also the alliance. You can ask any philosopher. They will tell you that beyond 3 dimension, you are already in the space of metaphysics. So we've stopped with metaphysics. We killed the matrix organization. We have created a focus on what matters, and we have plugged the company onto the new value pools. We brought transparency and accountability at the level of the businesses where the things are really happening every day. And every day, this organization supports our relentless quest for performance improvement and capital allocation optimization. So cost reduction will remain and remains our obsession. I confirm that we are going to reduce cost of EVs by 40%, thanks to Ampere. For ICE and hybrid cars, we will achieve 30% cost reduction by 2027. We push our efforts well beyond our traditional scope. We have dramatically increased our control on our value chain.  Traditionally carmakers dealt only with Tier 1 suppliers in a very classical way. Supply chain was a black box in a way. We have opened it. And this is what we do when we deal, for example, with Qualcomm or when we co-develop with STMicroelectronics, with Valeo and many others. So our horizontal approach is an additional lever of performance improvement, allowing us to share investment and risks all along the value chains that we have to cover. We are also pushing the limits to reduce development time. A few years ago, it took us at least 4 years to develop a new car. Now we are developing a new EV, Twingo, in around 2 years. All these efforts are boosting Renault Group's capital efficiency. So we'll achieve over 30% ROCE by 2025. And remember, we started from 0 in 2021. Besides performance improvement, our new organization supports our second mantra. This is strategic agility and flexibility to address the ongoing automotive transition. We have designed a next-gen company to be ready to smartly adapt to the changing pace of markets and technologies. Of course, the end game is clear, but we know that there will be ups and downs to get there. We are all set for the journey, thanks to 2 clear assets, allowing us to play the smooth transition. Ampere, on the one hand, this is our EV and software champion, tailored to outpace the EV pure players in the race towards EV-ICE price parity. And Power & Horse, on the other hand, generating cash, derisking the group, racing to reinvent the ICE technology through smart hybridization, synthetic fuels and ultra-low emission solutions. And of course, out there are also Mobilize, The Future is Neutral and Alpine to support the group business model with differentiating products and solution on the new mobility services, circular economy and profitable high-end car value chains. Boosting strategic agility has also been our key objective when we have reshuffled our alliance with Nissan and Mitsubishi. At the core of this new alliance, we have put operational projects that have the potential to generate hundreds of millions of euros every year. Each company is free to move forward with its own projects, and the others can join, not because they have to, but because it makes business sense. My job now is to leverage this great dynamic in the teams to take advantage of an unprecedented product life cycle, pushing the system to secure long-term performance and to catch new growth opportunities. I will tell you more about that in a few minutes, but before that, Thierry will go more in detail on the financial results.
Thierry Piéton: Thank you, Luca, and good morning, and thanks again to all of you for joining us. So I'll go straight into the financial performance, starting with the revenue. So our group revenue was up 13.1% in 2023 at EUR 52.4 billion. At constant exchange rates, it was up 17.9%. Mobility Services amounted to EUR 45 million, up EUR 10 million compared to last year. The revenue from our captive finance company, Mobilize Financial Services, grew 31.8% to EUR 4.2 billion, mostly driven by the rise in interest rates and by a strong increase in average finance amount. Let's [ draw ] down now in the automotive revenue. Automotive revenue stood at EUR 48.2 billion for the year, up 11.7%. At constant exchange rate, it was up 16.5%. ForEx was a negative, by 4.8 points, and mostly linked to the Argentinian peso devaluation and, to a lesser extent, the Turkish lira. The volume and geographic mix buckets together were positive at 5.7 points. Volume-wise, the group registered 2.2 million units in the year, a 9% increase compared to 2022, sorry. All brands contributed to this growth. In 2023, Renault brand was the best-selling French brand in the world with a 9.4% growth. In Europe, the brand moved from fifth to second place in the passenger car and LCV market. In light commercial vehicles, in particular, with a 25.7% growth, Renault took the second place and was first in commercial vans. Dacia sales were up nearly 15% worldwide. The new brand identity is proving very successful month after month. In Europe, its core market, the brand confirmed its second place on the retail channel. The Extreme trim level, launched on all vehicles at the beginning of 2023, now represents 1/3 of orders across the entire range, attracts new customers and crucially, generates incremental contribution margin. Alpine continued its double-digit growth in the high-end segment for the third consecutive year with more than 4,000 units sold. It delivered a 22% growth versus 2022. From a geographic perspective, sales in Europe were up 18.6%, a strong outperformance versus a market up 13.9%. This market share gain was mostly driven by our product offensive, more on this later. Renault Group moved up to the third place among car manufacturers in Europe, and this led to a higher mix of European sales, and explains the positive 1.7 points of geographic mix effect. For the overall group, the 9% growth in retail sales translated into a 4% volume effect as the increase in registrations was partially offset by a lower restocking in the independent dealers network in '23 compared to '22, in particular in the fourth quarter of the year. Global inventory stood at 484,000 units at the end of December compared to 480,000 units in December of 2022. This is better than the objective that we had communicated to you of being below a total distribution stock of 500,000 units by the end of the year, and allows us to enter 2024 with a very healthy inventory position. This should also be put in perspective with a still high order book, which stands at 2.5 months of forward sales. It reflects the success of our launches and remains above our target level of 2 months plus. In 2023, we benefited from a strong price and product mix effect. All in all, they represented 8.4 points. The price effect was a strong positive at 7.4 points for the full year. As anticipated, even if it continues to be strong, it started to ease, mostly due to tougher comps and less pressure to offset raw materials. The price effect was mainly driven by performance in the following areas. First, a continued discipline in channel mix. Almost 2/3 of our sales are made in the retail channel, and specifically 50% for the Renault brand in Europe. Secondly, a strong control over variable marketing expenses, which includes incentives to dealers. Thirdly, the continued favorability of our trim mix, thanks to the attractiveness of the range. And finally, pricing power that allows us to more than cover adverse exchange rate impacts where necessary. Switching to the product mix effect. It stood at positive one point, mainly thanks to the success of Austral, Espace and LCVs. A lower figure in the second half of the year mainly results from a strong sales performance from Clio, which has a revenue per unit that's below the group's average. Nonetheless, as you will see, the model mix is positive for our margin. In the second half of the year it drove a 50 basis points positive effect on the group's operating margin. Let me give you an update on the products that supported this performance. Starting with Megane. Megane E TECH is still the #1 EV of its segment in France. In 2023, it ranks #3 of its segment in Europe. Even with volumes that are below the levels we anticipated at the time of the launch, this car remains a conquest product in Europe with more than 50% of our clients, which are new to the Renault brand. In 2023, we sold 47,000 units, of which 70% are higher trim versions, and over 80% are equipped with the most powerful powertrain. By the way, the residual value of Megane continued to increase in 2023. In the meantime, we worked hard on costs in line with the road map detailed last November during the Ampere CMD. Because we started to benefit from the first cost reductions on the vehicle, we also started to reflect it in the price of Megane, to ensure that it remains competitive. In France, Austral became the leader of the retail CSUV segment and Renault brands, the leader in the C segment in 2023. Austral sales amounted to more than 86,000 units in the year. 100% were electrified, and 62% were E-TECH full hybrid, 60% were configured in the highest trim levels. Austral is a car with outstanding financials and delivers historical levels of contribution margin. The record, though, now belongs to the car on the next slide, which is none other than Espace. Espace is an important Conquest product on the D-segment. It enjoys an 80% commonality rate with Austral. This enables it to deliver record contribution margin, even though we reduced its selling price compared to the previous generation. Espace sales are off to a good start. 80% of the sales are in the high-trim level. In H2 of 2023, we also introduced the new Clio, with the E-TECH hybrid version further reinforcing the group's offensive on electrification. Clio was the best-selling vehicle in France in 2023 and is now #3 in Europe. Thanks to significant cost improvements, it's posting a higher contribution margin than the previous generation, while its price is actually lower. As you will see later with Luca, this [ whole new ] lineup will be strengthened by important launches in 2024. Dacia's 4 pillar models all grew in 2023, with 2 vehicles on the podium of retail sales in Europe. Sandero was the second car sold in Europe last year, and remains the top seller on the European retail market since 2017. Dacia Spring recorded close to 62,000 sales in Europe in 2023. This car is the most affordable EV in Europe and was the third best-selling electric vehicle to retail customers. Last, but not least, despite approaching the end of its life, the current Duster was #2 of retail SUVs in Europe. New Duster will be launched in the upcoming months, and will ensure the continued success story of Dacia, our double-digit brand. Switching to Alpine. Alpine A110 maintained a strong momentum, driven by the success of the limited editions. Alpine starts 2024 with a 7 months order book, thanks, for example, to the successful start of the A110 R Turini launched in December. In a nutshell, the success of our lineup fed the revenue growth. It was also a key driver for our operating performance, and I'll come back to this in a moment. To finish the analysis of the revenue change, our sales to partners contributed positively for 2.1 points. They benefited from the production of Colt and ASX for Mitsubishi, and illustrates the common projects that we're restarting with the Alliance. We also benefited from a dynamic LCV market, driving our sales to Nissan, Renault Trucks and Mercedes. Now let's move to profitability. In 2023, we increased our profit by more than 60%, delivering EUR 4.1 billion, which is 7.9% of revenue, up 2.4 points versus 2022. This is at the top of our guidance, which, as Luca mentioned, we had already increased last June. This performance is driven by the progress of the operating profit of our Automotive segment, which stood at EUR 3.1 billion, or 6.3% of auto revenue. We basically more than doubled our automotive segment of profit versus 2022. Our financing activity, Mobilize Financial Services, delivered a EUR 1.1 billion contribution. This slide showcases our fast and strong transformation throughout the last 3 years. 7.9% operating margin is the new record, as mentioned, for the group. In H2, we reached 8.1%. We're closing the gap with some of our competitors, but this is not the end. We're 100% focused on continuing to improve our operational performance year after year. In 2023, our operating margin increased by EUR 1.5 billion. The biggest contribution came from price, mix and enrichment for almost EUR 3 billion. Price, mix and enrichment taken individually were all strong profit contributors in H1 and in H2. This reflects our commercial policy, the vitality of our lineup. This affects obviously way more than compensated the strong cost headwinds. Despite good operational cost performance, our cost of goods sold increased year-on-year about EUR 1.6 billion. This was primarily driven by raw materials and other input costs; namely logistics, energy and labor costs. Raw material weighed for EUR 216 million. After almost EUR 350 million negative in H1, the trend reversed in H2. Logistics and energy costs continue to weigh in H2 despite a meaningful sequential improvement. After EUR 1.2 billion of cost effect in H1, the pressure is now easing very significantly. Looking at SG&A, they increased by EUR 389 million, mainly driven by the marketing costs due to the ongoing product offensive and by labor costs. Most of the positive EUR 376 million in the Other item are explained by price increases in the Renault Group subscription plans in Argentina. In this country, Renault, as other OEMs, offers a subscription plan in which individuals can collectively contribute towards the purchase of the vehicle. As you remember, a few words on Horse. As you remember, in November 2022, we announced our intention to merge our ICE and hybrid powertrain and gearbox business with Geely's equivalent activities and form a world-leading supplier. Since the announcement and in accordance with IFRS 5, we reclassified Horse's assets and assets held for sale and ceased their amortization. In 2023, this resulted in a noncash positive effect on our operating margin, which amounted to EUR 482 million, which is EUR 398 million more than in 2022. As stated, it's noncash, so we had no impact on free cash flow in '23. Restated from this impact, the group operating margin would have been 6.6% in H1 and 7.3% in H2, up 0.7 points sequentially. Clearly, performance continues to improve whether you include the impact of Horse or not. The JV agreement was signed in July, and the closing of the deal is currently pending approval from antitrust and foreign direct investment authorities. Until closing, the freeze of amortization will continue to have a noncash positive impact every month. When the deal closes, we will deconsolidate Horse and consolidate our share of the combined entity on an equity basis. At this point, the amortization of Horse assets will resume and be included in the price that we pay for the powertrains. Horse will take a margin as a supplier, and synergies will more than compensate this margin from the second year. All in all, for 2024, we took an assumption of a slight negative impact from Horse on operating margin. This number has to be compared with a positive impact of EUR 482 million just mentioned. These effects are taken into account in the 2024 operating margin guidance that we'll cover later on. Now let's comment on the performance of Mobilize Financial Services. Mobilize Financial Services generated EUR 21 billion of new financings, up 17.1%, thanks to the growth in registrations, compounded with a 9.9% increase of the average financed amount. Average performing assets amounted to EUR 51.2 billion, a EUR 6.4 billion increase versus 2022, driven by both new retail and wholesale financing, the latter due to the return of more normal dealer inventory levels post electronic component shortages. Net banking income, as a percentage of average performing assets, was negatively impacted by the reversal of positive swaps valuation impact observed in 2022 and by the higher mix of dealer inventory financing with lower margins. Cost of risk at 0.29% remained at a very low level, both for wholesale and retail. Overall, Mobilize Financial Services posted an operating profit of EUR 1.1 billion. Excluding the nonrecurring impact of swaps, this represents an 8% improvement versus 2022. Moving to the key items from our group P&L below the operating margin line. The other operating income and expenses were impacted mainly by 4 elements. First, the EUR 880 million capital loss related to the disposal of Nissan shares and noncash items, as you already know; secondly, assets impairment linked to vehicle developments and specific production assets; third, restructuring costs; and finally, on the positive sides, the impact of asset disposals, which amounted to EUR 323 million. The slight deterioration of our net financial income and expenses is explained by the impact of hyperinflation in Argentina, partially compensated by the positive impact of the rise in interest rates on our net cash position. Profit from associated companies rose primarily due to Nissan's contribution, which stood at EUR 797 million compared to EUR 526 million posted in 2022. As a reminder, we adjust Nissan's J-GAAP results to convert to IFRS. Key adjustments concerned the valuation of Nissan's stake in Mitsubishi Motors for EUR 228 million and deferred tax retreatments. Current and deferred tax represented a charge of EUR 523 million, stable compared to '22. The effect in the pretax income -- the increase, sorry, in the pretax income was driven by the operating performance improvement, but it was offset by the evolution of deferred taxes. The effective tax rate for 2023 was close to what is going to be normative levels. All in all, net income strongly improved by more than EUR 3 billion, reaching EUR 2.3 billion. Net income group share reached EUR 2.2 billion. From the start of Renaulution, return on total -- on capital employed has been a key indicator for us. You can see on this slide that, as Luca mentioned, we made remarkable progress in the last 3 years, confirming what Luca said about the transformation. From 0 in '21, we're now close to 30%, which was our commitment for 2025. Now let's cover how this translates into our cash performance. Renault Group generated EUR 5.5 billion of cash in 2023. This is a record for the group, and reflects all the work that we've carried out to build a much stronger fundamentals to underpin our performance. This figure included a EUR 600 million dividend inflow from MFS compared to EUR 800 million in 2022. Group CapEx and R&D, excluding the impact of asset disposals, amounted to 7.3% of revenue versus 7.4% last year. Disposals represented a EUR 282 million cash inflow. The change in working capital requirement was positive EUR 637 million and is mainly related to the decrease in our inventory levels. Finally, restructuring cash out amounted to EUR 496 million. As a result, we generated EUR 3 billion of free cash flow, which is one more new record. Excluding MFS's dividend, it stood at EUR 2.4 billion against EUR 1.3 billion in '22, up EUR 1.1 billion. Don't forget that this free cash flow was generated while funding Ampere's development. It shows that we now have ample capacity to continue to do so. This record free cash flow, alongside with around EUR 200 million inflow from the sale of the 24% equity stake in Alpine Racing LTD and the positive impact from Nissan's shares disposal, strongly contributed to a significant improvement in our automotive financial position. All in all, our net financial position rose by EUR 3.2 billion to reach EUR 3.7 billion. The liquidity of the Automotive Division stood at a very comfortable level of EUR 17.8 billion at the end of December. As you know, most of the agencies covering the stock have upgraded their outlook of the rating of Renault Group for 2023. Rewarding our stakeholders is very important for us. We will, therefore, submit to the approval of our shareholders at the next general assembly a dividend of EUR 1.85 per share, payable in cash. It means a 17.5% payout ratio, improving significantly our dividend yield. Then as we make progress towards our first priority, which is to return to investment grade, the dividend will gradually grow in a disciplined fashion with a goal to reach 35% of group consolidated net income parent share. This concludes the financial section. Luca, back to you for the '24 outlook.
Luca de Meo: Merci, Thierry. So let's now look rapidly at what comes next. So good news, 2024, it's all about products. We'll be launching basically 1 car every month in average. This has never seen before at Renault. Some of those products will be very unique, boosting our competitiveness. The Renault 5, of course, this is a return of a legend. This is our ace to democratize next-gen EV and software, probably the best small EV in the world right now. We will unveil it in Geneva in a matter of 10 days. So then we have the Scenic. This is one of the first European EVs designed to touch the heart of the European market, families, user choosers in corporate fleets. A product that is very, very competitive versus comparable ICE models in cost of ownership and performance in usage. This is a product that is also showing the future, materializing our vision of what we mean when we talk about sustainability, and the product that's well positioned in terms of price versus competition, actually very well. Then we'll have the new Master. We call it the  aerovan because of its cutting-edge technology and also aerodynamics. It will have the best consumption performance, both in electric and ICE version. We are convinced it will reinforce our leadership in LCV in the European market as a brand. And then we'll have the Renault 4, will be another instant classic. I'm sure you will see more about the final version at the end of this year. And alongside our EV push, for Renault, we continue to develop our range of E-TECH hybrid cars, supporting our renewed global ambition, for example, with Symbioz. This is the idea of small family SUV that we have just revealed last week. I think we have one of the -- our best kept secrets and potentially one of the good surprises in the Renault lineup. It's nice, it's practical, and it's very competitive in price. We'll also have Rafale. So since a long time, Renault didn't have such a strong proposition at this level of the market. It's going to turn heads but also turn some -- given ideas about our potential to grab some share at that level of the market. And for us, it will represent a very, very good additional business. We just opened orders also last week. In 2024, we will also have major launches in Latin America, Turkey, Morocco and Korea, among other countries. This is the start of the attack plan we have organized for international markets, which we'll develop in the next 36 months. And of course, I don't want to forget our corporate darling. This is Dacia. We'll renovate the Spring, which is one of the most successful EVs in Europe, as Thierry said, just after 3 years. It will be more performant, nicer and even cheaper. But the big event of the year for this brand is the launch of the third generation of Duster, so far the most popular SUV in Europe. So looking at the reaction of automotive press, dealers and customers, I think this car will be a blockbuster. And last but not least, 2024 will be the year where we start the new Alpine journey with the A290. So it will be busy, but we like that, especially when it comes -- it's about introducing our creations and our technologies. So in 2024, the Renaulution will really materialize into our cars. I want also to reassure that while our production, marketing and salespeople will be very busy launching, we're not going to let the product fireworks distract us from our fundamentals. We'll keep extremely focused on cost discipline, especially in those 3 areas. First, we'll push the envelope on the EV side. In November, we presented our road map to achieve 40% cost reduction and reach EVI's price parity before the competition. In fact, we have already started the journey. You saw it completed with the price positioning of the Scenic and the Renault 5. Second, transforming our industrial base puts us on track to reduce production costs by 30% for ICE and hybrid cars, and by 50% for EVs by 2027. For example, deploying predictive maintenance AI tools resulted this year in a EUR 270 million saving on energy and maintenance. So the thing is for real, for sure. And finally, we have made a huge step on Auto Master, as I said before, energy efficiency. In 2 years only, we have reduced the energy consumption per vehicle in our plants by 20%, again, through AI monitoring, and we'll go further with a 30% reduction target by 2025 compared to 2021, and even a 40% reduction in the French plants. All this will result in operational improvement and strong cash flow generation in 2024. We aim to achieve over 7.5% of operating margin and will generate over EUR 2.5 billion of free cash flow. So this year is going to be, again, a year of focus, discipline, execution, but don't count on us to switch to cruising mode. We know what that -- what comes in the next automotive sector will be no walk in the park. Only those able to anticipate the next tectonic shifts -- so adapting, getting prepared to turn the next disruption to opportunities, to reinvent our industry, will have a future. We are totally comfortable with that scenario. It's a chance for a challenger like Renault Group. So as you can imagine, this is precisely what we are cooking and preparing back into the kitchen. So thank you for your attention. I now will open to your questions. So stay with us, if you can, for the Q&A.
Philippine de Schonen: Thank you, Luca. So we will now enter the Q&A session. And we will start with a question from Daniel Roeska, Bernstein.
Daniel Roeska: Luca, I'd like to ask you about your medium-term view on pricing for PEV and ICE cars. You already made some comments. But how do you see the price points evolving in the long term? And will there be any meaningful difference between them, right? Do you think consumers will perceive EVs as better cars and have a higher willingness to pay? Or will it be the other way around, that actually EV cars might need to be cheaper than ICE cars in the long run?
Luca de Meo: I think for this generation, next generation in 2030, there will always be a slight difference in pricing, especially for cars with bigger batteries. Of course, when you go into small cars, you can really reduce the size of the battery because the usage of the thing is different. Maybe you will find more competitive BV offer to ICE. That's the kind of -- of course, everybody is trying to reduce the cost of EVs to look for price parity of the thing. But we always discuss about price list. But in fact, what we should look at is the total cost of ownership of the thing. So you already see on the Scenic that when you calculate the total cost of ownership, including the electricity that you want to use to run, I don't know, 30,000 kilometers a year, I think -- or in 3 years, sorry, I think that this is already comparable to the hybrid. So we got there. We didn't got to the list price parity. But I'm, sometimes, asking myself whether this is the real important criteria that will motivate a customer to consider a car or not. So this is the way I see it. So you will see probably a reduction of price of EVs. And -- but this generation, apart from some segments, this is not necessarily going to happen, but I'm not sure it's the real important thing. Another element, and I finish here because I leave it -- I have to leave time for the other question, is that we have to be very careful on how do we manage, in general, the residual value of EVs. And I think that Renault, the way we are doing it is a very balanced and long-term, let's say, minded and driven approach. And this is the most dangerous thing, is that for the sake of pushing cars that the market doesn't want, then we destroy the residual value. It is not a good idea. So we try to be a good example of how you can actually manage that.
Daniel Roeska: Maybe I'll take that as a cue and bring in Thierry to ask whether there's a risk on financial services here concerning the lower-than-expected residual values on BEVs in the market. I mean, could you outline what the share of BEVs in Mobilize's books is at this point in time? And is there still room for RVs to fall further before that starts impacting your financials on the MFS business?
Thierry Piéton: Yes. So Daniel, so look, it's a relatively small share in the books of Mobilize Financial Services because you have basically 3 years of financing in the books at any given moment. And over the last 3 years, I would say EV is roughly around 10% of our exposure in Europe. So it's relatively limited. Mobilize, first, doesn't carry the risk on all of that portfolio either. You know that the long-term lease is quite a small portion at this stage in terms of the financing structure. So a big portion of the risk is actually carried either by the consumer or by the retail network. So it's not a very material exposure. However, we need to manage it, as Luca said, and we always take a very prudent approach to it. So we're not making bets for the future. We monitor it on a quarterly basis. We adjust the assumptions in terms of residual value based on what we do in the market. And we do -- we say [Foreign Language], sort of look-back tests every closing with the team. And we look at the gain or losses that we take in residual values, and we're consistently very prudent. So at this stage, no worries, but we'll keep monitoring it for the future.
Luca de Meo: Having -- owning a bank with all the financial products and the different kind of financial, I think it's an advantage in this respect, so because we can actually master the game, right, on one cycle to cycle. So this is also one thing that you have to take into account in your model for Renault.
Philippine de Schonen: Thank you, Luca. So now, we have a -- thank you, Daniel. Now we have a question of Michael Jacks from Bank of America. Michael, the floor is yours.
Michael Jacks: Can you hear me now?
Philippine de Schonen: Yes.
Michael Jacks: I have 2 questions, if I may. The first one is on pricing. Just want to find out, to what extent are the price reductions that you made on the Megane E-TECH earlier this year covered by raw material tailwinds, because it would appear that battery costs are declining quite materially versus competitiveness gains. And then pending on from that, with [ that petrol and raw material costs in the market ] and following price cuts by some of your peers, specifically in the SUVC segment, do you believe that the EUR 40,000 entry price is now the correct level for the Scenic, or might you consider coming to market at a slightly lower level?
Thierry Piéton: So look, on the reduction in price of Megane, our approach is we reduce the cost first and then we reduce the pricing second, okay? So that's what we're doing. I won't go into the details of what represents raw material versus sort of productivity. It's a combination of both. I can tell you that our process, as we launch every new EV vehicle, is to look at the improvements that we make from one generation to the next and explore the feasibility of changing, sort of retrofitting the previous car to take into consideration some of the technical advances that we make on the new models. And that's what we're doing on Megane. So we are making good grounds in terms of cost reduction, but raw material is helping. But I think the important message is we do cost reduction first, and then we do the pricing reduction after that to try to protect the margin of the car. On the second part, the price positioning of Scenic, the entry level is actually slightly less than EUR 40,000, not EUR 45,000. So it's a very well positioned car. If you look at the competition, including Chinese competition, Scenic is going to be very well positioned.
Philippine de Schonen: Thank you, Thierry. We now -- we now have a question from Pushkar Tendolkar, HSBC.
Pushkar Tendolkar: Yes. Thanks, Philippine. I have a couple of questions. So the first on the guidance or just the assumption behind it in terms of pricing mix versus raw materials and FX. Do you think you can keep that net effect at neutral in 2024? That's the first question. And the second one is, particularly on the product mix, and I understand the impact of the Clio in the second half, but given the number of product launches that you're doing and especially the C segment mix, the negative print is a bit underwhelming. So do you see that reversing in 2024 now with the, again, the C and D segment launches? Or because you keep the price low, it's this mix is going to be weaker on the top line, but let's say, better on the profitability? How do you see that developing?
Thierry Piéton: Pushkar, thanks for the questions. So on the first question, pricing mix versus raw material and FX, yes, the overall equation is going to continue to be positive. I think as we saw in the second half, pricing is starting to ease. There's less pressure from raw material to offset, et cetera. But we will continue to do some pricing. And one thing that we'll definitely continue to do is offset foreign exchange with pricing. You can see that this was done very well by the teams this year, and we'll continue to do so. So price will be a slight positive, but not to the same extent as what we had in 2023. Mix will be positive, and I'll come back to that in detail to answer your question. Raw material turned a positive in the second half of this year. So it was roughly EUR 320 million negative in the first half and EUR 100 million more positive in the second half. So it's going to continue to help us. And then I would say the big change in terms of the geography of how the profit is going to come together next year versus this year is that cost of goods sold is finally going to become a tailwind overall, which it hasn't been for 3 or 4 years now. So that's the big change. Now on your second question that's around mix. So first, on '23, at the turnover level, the mix effect was lower in the second half because of Clio. So it's hard to be disappointed with that. We just have a situation where Clio is selling very, very well. And again, the beauty of it is that we took a lot of cost out. So despite the fact that it's taking our average revenue per unit slightly down, it's actually improving on the margin side. If you project yourself into 2024, things are going to change slightly because we are launching a few cars that have quite a high net revenue per unit, in particular, Scenic, the Renault 5, Rafale. So we should see a mix effect that will be positive at the turnover level. And we will continue to see the lift on the mix element at the margin level.
Philippine de Schonen: Thank you, Thierry. We now have a question from José Asumendi, JPMorgan. Jose? Okay. If it doesn't work, we'll take a question from Philippe Houchois, Jefferies.
Jose Asumendi: Can you hear me?
Philippine de Schonen: Yes.
Jose Asumendi: Yes, yes, just it takes a couple of seconds to open the phone here. Congrats on the strong set of results. Luca, please, a couple of questions. Can you speak a little bit around the cost savings actions that you're looking to execute in 2024? What are the biggest items you're looking to execute within the business in the year to reduce the cost base? And the second, can you comment on the potential collaboration with Volkswagen on a small car? I understand there were some discussions at the end of the year 2023. So we'd love to hear a little more -- any thoughts regarding this project? And second, Thierry, can you speak about 3 categories. One, what are your assumptions on financial services profits -- profitability in 2024? Are you looking for a slight decline of the earnings contribution? Second, if I take the low end of your margin guidance as a group, are you still expecting a margin improvement in the auto division? I understand you are looking for margin improvement, but the consensus seems to be disagreeing with that view. And then three, can you talk about purchasing and manufacturing costs in the profit bridge for 2024?
Luca de Meo: Hola, Jose. Look, on the cost reduction, I mean, we could talk about that for an hour. But one of the things that's important to understand is that -- especially on the EV space, the creation of Ampere brings also another approach to the management of the, let's say, development of the product and the maintenance of the product. So basically, in the traditional world, we would concentrate on developing a car and then the same team would go for another model, come back into the next generation for after 5, 6 years. In the case of Ampere, because the technology is very evolutionary, people are on -- focused on the 2 platforms that we have into Ampere the whole time. So if we find, one day, on Wednesday, an opportunity to get EUR 10 out of the thing, we try to do it, okay? And that's the kind of a spirit. So we are working very hard to make sure that the cost of EV cash goes down with some decision that we would have never made before, okay? I think that's the -- and it goes to the -- to answer to your second question. I'm not sure I can really talk about potential collaboration with other OEMs. The fact is that with what we're doing on the Twingo on the A segment, we actually have a setup, something that is from a manufacturing point of view, from a technology point of view, that is pretty unique. You don't have so many things like this in Europe. And because this segment historically was double digit in Europe and it went down like to a single -- small single-digit number, there is potential. It could be a very relevant segment. And in the world of EVs, when you can reduce the battery to, I don't know, less than 30-kilowatt into the thing, then you can get really competitive EVs that people can use and you can go into the volume. So some people are interested in doing that. So my focus is to make sure that we can get the car out of this extremely competitive in term of, let's say, technology costs. And yes, so I can't answer what's going on, but I can tell you that we're working very, very hard. And even with Geely this year, I think we took the opportunity of this product to completely revamp the product development process at Renault to get the car done in around 20 years -- 20 -- sorry, 2 years, 2 years, which is, I think, is pretty remarkable. And so this is now embedded and written on the stone at Renault. And now we have to prove that we can do it. But everybody is very motivated, because speed is going to become more and more important in our industry, especially if you want to face the Chinese that are very quick. So it's going to save us money, and it's going to give us a chance to be always on the market when you need to be.
Thierry Piéton: On your financial questions, on financial services, the contribution of MFS is going to be a positive. So it's going to be an increase next year, but primarily driven by the fact that we'll have the nonrepeat of the negative swaps valuation that we had in the '23 numbers. If you exclude that, it will be flat to a slight improvement. The cost of risk is very low. As you can see, the portfolio is very healthy. I think it's important to understand that everything that we did to kind of increase the average selling price on the vehicles, both through vehicle mix and through the pricing actions, is benefiting to MFS in the sense because the ticket size is improving. So we should be seeing continued good performance from that side of the group. On the auto margin, so maybe it gives me an opportunity to come back to the impacts of Horse. So if you look at total group margin, we ended up at 7.9%. In this, as I mentioned in the discussion, there's about EUR 480 million that comes from the fact that we stopped amortizing the assets of Horse, which is basically 100 basis points of noncash favorability. So that will not repeat. When we close the deal and we get regulatory approval, as I mentioned, we will start buying the parts from Horse. So we -- inside the price, there will be the cost of amortization, which will resume, and there will be a slight margin. So before we close, we continue to get the lift from the fact that we're not amortizing. After we close, it starts being a slight negative. In the 2024 construction, what we've assumed is that net-net, all of this is a slight negative, which means that if you look at the 7.5% guidance, it's really at least a 60 basis points improvement year-over-year. And this comes mainly from the auto parts of the business. So operationally, absolutely, the auto margin is going to continue to improve from a rate perspective. And then your last question was on purchasing and cost reductions. As I mentioned earlier, the discussions on sort of compensation of suppliers, et cetera, we're getting to the tail end of that. The impact that it had in the second half was a lot lower than in the first half. And so the progress that we're making in discussions with suppliers is starting to pay off, which means that the big change in 2024 versus '23 is that we're going to have a net gain in cost of goods sold. So that's good news going forward.
Philippine de Schonen: We now have a question from Philippe Houchois, Jefferies.
Philippe Houchois: Yes. I think that you should hear me now. A couple of questions for me. One is I'm surprised I'm the first one asking about this Argentina effect. This is not a recurring effect. So can you -- why should we treat as a recurring or will not take it out of the EBIT in which case you would have missed your numbers? What am I missing there? And I have another question after that.
Thierry Piéton: Sure. So Argentina, so this subscription plan is -- the way it works is basically people group, its group of actually technically 168 people. And they contribute to a pool between 84 and 120 months, so 7 years or 10 years, okay? And every month, they pay contribution to the pool, right? And they pay a subscription fees and stuff like that. And once the pool collectively has reached the amount that finances a car, a car is allocated to the pool, right? And so every month, each group gets 2 cars. One, we pick the client based on a draw; and the other, we pick the client based on a bidding war, okay? And then we ship the car to the 2 people who are lucky enough to get it. So basically, this year, we did price increases to offset the foreign exchange. So really the way you should look at the impact of the Rombo plan, this pool this year, is compensation for FX. So if you look at our total operating margin for Argentina, it was basically flat year-over-year. And this is nothing else than more pricing, but on a different type of sales, right? It's going to continue to be this way in the coming year, although maybe to a lesser extent because, hopefully, the inflation starts to abide. But there is no sort of one-off, per se. It's a price increase to compensate foreign exchange. The price increases are -- it's a given, right? So there's no going back. And as I mentioned, out of the EUR 1.5 billion of operating margin increase, none of it comes from Argentina. It's an offset of FX, which will continue in the future.
Philippe Houchois: Okay. No, that makes sense. I appreciate that because it was -- it looked like a convenient one-off otherwise.
Thierry Piéton: Yes. And by the way, all the -- or most of the auto manufacturers do this in Argentina. It's a way to give access to mobility in an affordable fashion for the clients. And in a situation where there is very high inflation, people are actually buying cars so that they have an asset that they can rely on. It's like almost an investment. So it's a successful plan. But all in all, for us, it was about offsetting FX, and we'll continue to do so in the following years.
Philippe Houchois: Okay. And my other question was on the product. I think the big improvement we've seen over the last few years is definitely a revival of the Renault brand itself, the contribution of the models on those cars. The question I have is on Dacia and on vans. You've -- it's a big business, the van, but you are a smaller player compared to some of your competitors. And I'm just wondering, can you confirm that vans are accretive to group margins still? And the other question I have is on Dacia. I think Dacia, for many years, had a lower cost base because it was kind of using kind of hand-me-down platforms from previous Renault cars. Today, the technology required to build a Dacia is more sophisticated. So your cost is going up. Your pricing is going up as well. But can we be still comfortable that this kind of exceptional margin you've had on Dacia will continue because effectively, the cost base of the Dacia cars, I think, structurally is going up. And then last, you can confirm that you still have a very, very high share of retail buyers in the Dacia brand?
Luca de Meo: Philippe, I'm surprised you're asking the question, such kind of question because you know us since many, many years. So you should know that LCV at Renault is actually accretive to the business. We do...
Philippe Houchois: I just want to hear, if you can confirm it.
Luca de Meo: Yes, I can confirm you.
Philippe Houchois: All right. Okay.
Luca de Meo: And what's happening, normally, the Master, so heavy van is the cash cow into the thing. So you normally have very long cycles and maybe 10-, 12-year cycle. But when you come with a new car, you normally have a very, very big effect on profitability, okay? So the product is very, very competitive. We have the Kangoo that is 2, 3 years old. It's doing well. We have Trafic that we'll probably renovate that is in the middle of the life cycle that worked also very well. If you take only brands, Renault is #1 in Europe in commercial vehicle. Of course, if other people are using the same car and they change budgets, when you sum up everything, but from a customer point of view, as a brand, we are very strong there. And on the Dacia, of course, we have a challenge. You have Denis here, maybe he will add something on it. But when you look at the position of the cars, we talked about earlier about Spring, et cetera, but also Sandero, #1 car in retail since many, many years. Why is this? Because we have a clear advantage. In fact, what you have to understand is that on the B segment, we, in Renault, unlike other OEMs, we have 2 levels of cost structure on the same platform, okay? One way we call the CMFB global access, and the other one, which is the high-spec version of the thing. And that's what we use for Dacia. And what we decided 2, 3 years ago was to say, okay, for sure, regulation and the new technology will push up the cost of the thing. Dacia will always have to be relative to its competition with a big cost advantage, which is still the case, and even it will be also still the case for next-generation cars. But on top of that, we will give Dacia -- we will break the crystal ceiling that in the past was kind of given to the Dacia boys and girls that they could not enter the C segment, okay? So you look at the Dacia next generation in terms of performance, it's almost a C-segment car. In terms of price, it's very competitive. People will buy -- will not buy a car for EUR 10,000, but maybe for EUR 25,000, EUR 30,000. And then I can tell you, we make money. And when the big server come it will be the same, it will be even better. And it's based on the B segment platform. So I think that the Dacia recipe is still valid. The challenge that we have is how do we handle the same approach when the market will turn to EV, okay? So if Dacia will have to sell majority of EVs, we need to find a solution. But we have a little bit of time. Of course, we are working on it. It's an issue probably for '28, something for the renovation of the Sandero family of cars. So we are -- we know it and we are working on it. And I think technology will evolve in batteries and also cost. So we will be there at the right time, okay? I don't know, Denis, if you want to add something to...
Denis Le Vot: No, I think you said it all. To answer precisely your question, we are 84% retail sales, and we'll continue doing so. As Luca was saying, we do great results, as you could see on the B seg, mostly brand #2 and a solid double-digit operating profit. And now for the next almost decade or at least 7 years, we're just starting the game on the C seg, which would be even more profitable for us. So the future is great. Still reusing the same assets. This is all based on the same CMF-B platform, all that we do. We started the Sandero 2 years ago, and now we are growing on the C seg, and we even leverage those assets in the international operations of Renault. So this is potentially up to a 2 million business that we are talking on the same platform. So we still continue milking the cow for long years ahead of us.
Philippine de Schonen: Thank you, Denis. We now have a question from Henning Cosman, Barclays. Henning, could you hear us? Okay. If it doesn't work, we will take the next question from Thomas Besson, Kepler Cheuvreux.
Thomas Besson: Sure. I think you can hear me?
Philippine de Schonen: Yes.
Thomas Besson: Okay. Great. I'd like to start first with your balance sheet. I mean you've been generating a very strong amount of cash. Could you confirm you should get in the rerating upgrade relatively quickly from S&P? And remind us what's the impact on your expected cash returns? I'm notably talking about what is the plan for disposing of more of the Nissan shares over the coming months or years? Second question, totally unrelated. There's going to be a lot of decisions from the people and politics that are going to impact your business in Europe substantially between the Parliament election in Europe in June, the European Commission decision on taxes on Chinese cars and other types of elections, while consumers seem to be increasingly reluctant to buy the car that politics and regulation want them to buy. Can you talk about the flexibility Renault has going forward if the penetration of BEVs naturally in Europe gets at a much lower pace than expected? And remind us the proportion of BEVs you have to sell in '25 to continue to sell the other cars? And last question, you talked about impairments. So I'm back for a question to Thierry probably more. Can you talk about what you impaired? And whether there is potentially a risk related to just my second question on potentially further impairments on BEVs, should you have to invest eventually more than you thought in ICE territories?
Luca de Meo: You can start with the first one, I'll go for the second.
Thierry Piéton: Okay. So look, on the rating, unfortunately, it's not 100% under our control because our friends at the rating agencies have their processes, as you know. We're in constant discussions with them. We gave them a preview of these results, which they -- they -- Moody's and S&P both thought were very encouraging and actually slightly above what they expected. So I think we're on the right track. We meet technically the financial criteria to be investment grade. But then they also have sort of more subjective elements that they need to take into consideration how our EV business is going to develop, et cetera. But we're hopeful that we're going to get a re-rating relatively soon. In terms of effect on the financials, our spread has improved quite a bit with the improvement of the financial performance without -- regardless of the rating change. However, we still have almost 100 basis points of difference versus the best-in-class in the automotive market. And so 100 basis points on roughly EUR 15 billion of debt gives you an idea of the incremental benefit that we could get once we achieve that. On the last question -- oh sorry, on the Nissan shares. Look, I mean, the new structure that we've put in place where we've placed a portion of the shares in the trust, the intent is to rebalance to  15-15. So clearly, that's the intent. The calendar is not set. I mean a bunch of conditions need to be fulfilled for us to continue to come down. One of the elements is the appetite of Nissan to do some more buybacks. Steve and my counterpart at Nissan indicated during their earnings call that they had capacity to do a little bit. So that will be a positive. But we have to look at several other conditions and importantly, what we're going to do with the cash and how we redeploy it. So the intent is there. The calendar is obviously not set. And then on your question on the impairments before I give the floor to Luca. Like every year, we do a complete review of the vehicle range and assess the business plan and the recoverability of the value of the assets. This year, we decided to do an impairment on Megane. And I think we took into consideration the revised volume profile coming from the performance of the car and also coming from the market, and we thought it was good to adjust the value. And it represents a large portion of the impairments figure that you saw. I think going forward, we've reviewed the profile of all the other programs. And so far, it looks like they're significantly above the water. So no issue. We'll continue to look at it on a regular basis. What I can tell you is technology is advancing. And so for example, in software, we used to capitalize. We don't capitalize anymore. For example, software-defined vehicle, we've decided not to capitalize and to let those costs go through the P&L directly to be conservative. So you should see the capitalization ratio start to go down in 2024 and the years after that. Because as you mentioned, the technology is a bit riskier and we want to be prudent. But other than that, no change in the process, and we'll keep reviewing it on a regular basis.
Thomas Besson: Can I just ask a quick follow-up on this Megane impairments, if that's okay, before Luca answers the other question? Did you have to make any one-off payments to some of the suppliers that obviously faced totally different volume than expected?
Thierry Piéton: Yes, there's a proportion of the cost that we took, which is a compensation of our volume shortfall. Not necessarily a very large portion, but we included everything in that [ rhythm ].
Luca de Meo: Philippe, so I mean from a process point of view in Europe, I think nothing will be now decided before the new parliament is elected. So we'll see what happens with the election. What I want to say is that everybody now is like -- 3 years ago, you would tell us that if we would not do 100% electric cars, we'll be a bunch of zombies walking around. And now you're telling us that EV is not going to work. I don't think that this will be the case. I think EV will continue to be -- will grow in Europe and will become a dominant technology for a simple reason. We talk about parliament, regulation. We talk about deadline in 2035, revision close in 2026. But this is something that everybody forgets. And this is the fact that we have CAFE regulation. And the CAFE regulation, you have to do in 2025. That means in 8 months' time from now, you've got to do below 100 grams of CO2 in average for the fleet. And the best combustion engine is like maybe 80 grams with hybrid. And in 2030, you need to do 50. So you don't need -- you don't need to be a Nobel Prize in mathematics to understand that you need to sell a lot of electric cars. So we will, for sure, push them, okay? And we will create the offer, and we will work also with other industry to make sure that this thing works because it's also good for the environment, right? So I think that electric car will be dominant technology in the long term. We'll have bumps, up and downs. It's not 3 months of change that will change the thing. But in the case of Renault, right from the beginning, we always said we're going to play on both sides, because Renault actually has one of the best hybrid in the world with E-TECH, okay? Very modular technology, very competitive, et cetera. And that's why we are pushing on that. That's why we did Horse because it's going to give us -- we do an old-school game of putting things together, finding productivity, synergies, et cetera, et cetera. We have potential to reinvent things to develop this technology, to develop the thing from a fuel point of view. And on the other side, we do Ampere to focus on a new sport, which is EV. And Ampere is designed not to be focused on that, but it's also not -- it's kind of a relatively asset-light organization. I think that Ampere -- I think, we gave this number. We probably be on breakeven around 300,000 units with that system. We have a capacity -- theoretical capacity of 600,000 for the time being, if we push everything. But already at 300,000, we are making money. I don't remember what was the number of SG&A on Ampere, it was like 2-point...
Thierry Piéton: 2.5.
Luca de Meo: 2.5% SG&A on Ampere. So we only have in Ampere what is right and what is important to do electric cars. So I think Renault is actually in a very, very favorable position to master the transition and to play on the piano where -- what we need to play. This is the reality of the thing. Very good hybrid technology and very focused on the EV with experience. So we'll see. But let's not give up the fact that we need to push progress and technology in the automotive industry because that's important for Europe, yes? and for the people and for the environment.
Philippine de Schonen: Thank you, Thomas. We now have a question from George Galliers, Goldman Sachs.
George Galliers-Pratt: Yes. I actually wanted to ask 2 questions which were more industry-related because I think if we look at Renault, you've delivered record results. You clearly have all the foundations in place for your EV strategy. But the market, obviously, isn't giving you full credit for that. And I think some of the market's concerns around the industry are why. So just with respect to end market developments and the state of end markets, we've seen you get your inventories very much in shape and flat year-over-year. But when you look around, do you think there is now excess inventory in your end markets and significant risks to pricing? Or would you describe the health of the end markets as still being a very good one and certainly significantly better than what we saw in the past? The second question I had, which really relates a little bit to what we were just discussing, is regarding the CAFE standards. As mentioned, you have Ampere, you have exciting new products with the R5 and the Twingo. You clearly have done a huge amount to get your cost position very competitive. But the same can't necessarily be said for all your competitors. Do you get any sense that the industry would look to try and push back the CAFE standards? And do you think there is any scope for that to happen post this year's elections?
Luca de Meo: Maybe, George, I'm going to start with your second question. I actually think that I've never heard someone questioning the CAFE standard. When CAFE is not only for Europe. You have that kind of system in many areas of the world. So a lot of discussion on, of course, regulation, Euro 7. You've seen the things and deadlines, whether it should be 35, 40 revision close, et cetera. But I have never heard anybody actually, let's say, discussing about that. So because this thing is embedded in the system since I don't know how many years, like probably 10 years it was and even more. So the fact is that, again, that we're going to have to be below 100 in 2025. That means basically, it's very early, right? So our estimate is that you've got to be maybe a 25% mix of EVs to get there, right? We -- the average of the market this year was 16%. So we're not so far away from the van. There will be a lot of offer coming. And -- but to be at 50, you have to sell a majority of the cars in 2030 as a 0 emission. So either it's -- in current regulations, either electric or hydrogen car. So I think that the OEMs and the industry will push for that. Of course, you have a lot of things that you have to fix and as we said, infrastructure. And of course, this market, so far, is very dependent on subsidies because the cost of the product is structurally higher than classical IC, but it will come down, okay? So I have to say that when I hear now that everybody is questioning the thing and putting kind of a shadow on the potential performance of the industry because of that, I found it a little bit like the interest, right? So the industry has put as far as I know, in Europe, maybe something like EUR 250 billion on electric thing on the value chain. So now this investment has to return and we'll make it work. In the case of Renault, I think we have -- of course, we have Ampere, but something that will help us is that we are the first one to have a B segment next-generation EV platform, okay? That will underpin products like Renault 5, Renault 4 Alpine, the Micra from Nissan, et cetera, et cetera. And basically, mechanically, because this platform is maybe 30% cheaper than the, let's say, Megane Scenic platform, mechanically, we will bring down the access to EV in terms of budget for the customer by 30%, 35%. And this is where, in a local market where you find the customers. You don't find the customers at 45,000, but below 30,000, you'll find them, right? A lot. So I think we have a couple of years of advantage there. I think by the way, also the Chinese are very strong in C segments, C segment SUV and the higher segment. That's not -- there's not much offer even in China for small cars, but European people, they buy small cars. Look at the top 5 cars, you have cars like the 208, the Clio, the Sandero, et cetera, et cetera. So this is where you sell car in Europe. And we have -- and we are the first one to have such kind of thing. So I think we will go through 2025. I mean based on our estimation right now, we will pass 2025, and then we'll have to find a solution to get to 2030.
Philippine de Schonen: Thank you, Luca. We now have a question from Pierre-Yves Quemener, Stifel.
Pierre-Yves Quemener: Pierre-Yves with Stifel. Actually, I've got 3 questions. Could you confirm, Thierry, that the starting point of the 2024 margin guide is restated for the Horse impact? So 7.5% plus outlook is built on 6.9% landing point in 2023?
Thierry Piéton: Yes, to make sure I understand your question, the 7.5% is built on the 6.9%, yes. So again, we've assumed that the net impact of Horse in '24 is actually a slight negative. Again, because until we deconsolidate, it's a positive through the fact that we stopped the amortization. After the deconsolidation, it's a slight negative because we start paying the margin to Horse. The net-net that we've incorporated in the 7.5% is a slight negative. So you should see the 7.5% comparable at least to the 6.9%. So at least a 60 basis points improvement. Hopefully, that answers your question.
Pierre-Yves Quemener: Yes. That was the direction of that question. And the headwind from Horse in '24 should be captured in the manufacturing cost bucket, I suspect, right?
Thierry Piéton: In -- yes, in the cost bucket. Absolutely.
Pierre-Yves Quemener: Yes, yes. Second point is, would it be fair for 2024 to assume that volume should be a tailwind for Renault, likely low single digits on higher shipments, but not necessarily in the first quarter, which could still be negative? Or I am too pessimistic for the full year or for the first quarter?
Thierry Piéton: I think your assumption is correct. I mean I think in Q1 of last year, we were still in the phase where components availability was coming back, et cetera. Overall, for the year, we always take a conservative approach on the volume assumptions. We're -- as Luca mentioned, we're launching 10 cars. The last thing we want is people to push them and not maximize the pricing. So we will get some kind of low single-digit growth year-over-year, but it will be a tailwind, yes.
Pierre-Yves Quemener: Okay. Last on free cash flow. Your guide for '24 should include roughly EUR 1 billion of Ampere cash burn or Ampere funding, right?
Thierry Piéton: Well, something like that. I mean we had said when we did the Ampere CMD that it would be EUR 1.5 billion over the period of '24 and first half of '25. And the cash burn is included, obviously, in the projection that we've given you. So again, it's good that you point it out because I've seen questions on whether we're able to fund Ampere, et cetera. The cash that we've generated in 2023, covering the cash burn of Ampere, is more than 2x the cash burn of Ampere coming in the next 2 years. So there's absolutely 0 question that we could keep funding Ampere with the cash generation of the group, and that's what we're going to continue to do.
Luca de Meo: I'm afraid -- sorry, Pierre. I'm afraid that we'll have to stop because we have to go to the media. So sorry for that. So I just want to thank you for being with us this 1.5 hours. And so have a good day, and see you soon, I hope. Thank you very much, guys.